Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ralph Lauren Corporation Third Quarter Fiscal Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. Instructions on how to ask a question will be given at that time. As a reminder, this conference is being recorded. I would now like to turn over the conference to our host, Ms. Karina Vanderkins. Please go ahead.
Karina Vanderkins: Good morning, and thank you for joining Ralph Lauren Corporation's Third Quarter Fiscal 2025 Conference Call. With me today are Patrice Louvet, the company's President and Chief Executive Officer, and Justin Padicci, Chief Financial Officer. After prepared remarks, we will open up the call for your questions. We ask that you limit to one per caller. During today's call, our financial performance will be discussed on a constant currency adjusted basis. Our reported results, including foreign currency, can be found in this morning's press release. We will also be making some forward-looking statements within the meaning of the federal securities laws, including our financial outlook. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Our expectations contain many risks and uncertainties. Principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. Find disclosures and reconciliations of non-GAAP measures that we use when discussing our financial results. You should refer to this morning's earnings release and to our SEC filings, which can be found on our Investor Relations website. With that, I will turn the call over to Patrice.
Patrice Louvet: Thank you, Corey. Good morning, everyone, and thank you for joining today's call. We entered this important holiday quarter with a clear game plan along with strong brand and product momentum. Our teams around the world delivered particularly well, executing our long-term strategy across geographies, channels, and categories to outperform our financial commitments. This quarter's results underscore the powerful combination of our iconic, timeless brand and products, our durable and diversified levers of growth, and our ability to connect authentically with consumers across genders, generations, and markets through our proven key city ecosystem model. Third quarter results with revenue of double digits exceeded our expectations in every geography, across the top and bottom line. Our strong first half brand momentum and strategic investments carried into the fall holiday season, driving better than expected consumer demand in each channel. The agility of our global supply chain enabled us to meet the upside to demand during the quarter. Our retail business led our performance again, delivering double-digit comp growth along with improving trends in digital. DTC continues to be a leading indicator of our growing brand desirability and the power of our ecosystem model. We are encouraged that this momentum is now also delivering as we continue to elevate and reposition the channel. Building on our high-impact Summer of Sports and Hamptons fashion event, we invested in innovative marketing campaigns to engage and inspire consumers around the world. This is translating to high-quality new customer acquisition and full-price selling in the marketplace. Third quarter retail AUR grew another double digits on higher full-price penetration and lower than planned promotions. At the same time, we continue to operate with discipline to improve our expense management across the organization and strengthen our balance sheet. This enables us to invest behind our strategic priorities all while delivering double-digit growth in profitability and returning cash to our shareholders. Let me take you through a few highlights from the quarter where we drove continued progress across our three strategic pillars. As a reminder, these include: First, elevate and energize our lifestyle brand. Second, drive the core and expand for more. And third, win in key cities with our consumer ecosystem. First, on our efforts to elevate and energize our lifestyle brand. Across generations and geographies, we continue to harness the power of our iconic brand, cutting through culture across key moments in fashion, celebrity, sports, gaming, and music. Some highlights from the third quarter included first, our global holiday campaigns, which translated the magic and timeless elegance of Ralph Lauren Corporation around the world. In New York City, you may have interacted with our AI-powered Polo Bear, blowing kisses from our Madison Avenue flagship windows, or our immersive holiday pop-up shop at Saks Fifth Avenue featuring our handbags and Ralph's coffee shop. At our Gangnam store in Seoul, stars J.Y. Park and Isaac Hong lit up the night with special performances at our Ralph's New York event. In Europe, we drove top city activations in London, Milan, Munich, and Paris, staying top of mind following our powerful Olympics presence this past summer. Second, our Very Ralph documentary launch in Shanghai, complete with a spectacular drone show over the historic Bundt waterfront and star-studded gala with friends of the brand like Crystal Yum and Shushu. Highlighting Ralph's journey and unique position in fashion, the campaign was a special opportunity to share our brand values with Chinese consumers, generating more than thirty million livestream views and sixty-seven billion impressions. Finally, we outfitted an incredible roster of celebrities, including Demi Moore, Selena Gomez, Eva Longoria, and Mikey Madison at the L Women in Hollywood event. Ariana Grande and Jonathan Bailey selected Ralph Lauren Corporation for the Wicked movie premiere in London, as did Nicole Kidman for the cover of W Magazine. Together, these activities are driving strong sustainable growth in new customer acquisition and engagement. In the third quarter, we added a record one point nine million new consumers to our DTC businesses, a low double-digit increase to last year. This continued to be led by younger, higher value, and less price-sensitive cohorts. Our brand further strengthened across key consumer metrics with increases across brand consideration, purchase intent, and net promoter scores globally. We grew both our value perception and luxury equity scores, particularly with next-gen consumers. We continue to increase our social media followers by low double digits to last year, surpassing sixty-four million, led by Instagram, Threads, Line, TikTok, and Duian. We plan to continue building on this brand strength with powerful new engagements into fiscal year 'twenty-six and beyond. Moving to our second key initiative, drive the core and expand for more. Since our company's inception, Ralph and our design teams have focused on creating timeless products that endure. This holds especially true in the current environment, where we continue to see consumers turn to brands they know and trust that consistently deliver quality and value. At Ralph Lauren Corporation, this starts with our core products, which represent more than seventy percent of our business and include some of our best-known styles. From our iconic mesh polo shirts to cable knit sweaters and polo caps. Sales of our core products increased low teens ahead of our total company growth in the third quarter. Our high potential categories, including women's apparel, outerwear, and handbags, together increased twenty percent. Women's and outerwear highlights this quarter included quilted, midweight and puffer jackets, cotton cable knit and wool cashmere sweaters, our coveted Polo Bear sweaters, and short dresses. Handbags also exceeded our expectations, with sales up strong double digits to last year, supported this holiday by an exclusive collaboration with Mr. Bags in China and pop-ups in New York City and Paris. Polo women's led this performance once again, supported by our Polo ID bag with new seasonal colors and fabrications, like chocolate and suede. Other special releases this quarter included our Double RL capsule with Navajo artist Zephyrin M, representing the second collaboration in our groundbreaking artist-in-residence program focused on empowering and celebrating artisans within the communities that have historically inspired our designs. In our annual Pink Pony collection, supporting Ralph Lauren Corporation's longstanding commitment to cancer care and research. Turning to our third key initiative, win in key cities with our consumer ecosystem. We continue to focus on developing our key city ecosystems around the world. These ecosystems support the long-term elevation of our brand by inviting consumers to step into the world of Ralph Lauren Corporation with consistency across each of our consumer channels and touchpoints. Within DTC, which comprises two-thirds of our business, we drove accelerated comp growth this quarter. Comps increased twelve percent above our expectations, led by double-digit growth in brick-and-mortar stores, while our own digital sites also performed ahead of plan. Globally, we opened thirty-four new own and partner stores focused on our top cities, largely in Asia. Store opening highlights during the period included Polo boutiques in Hong Kong's Pacific Place and Beijing's China World Mall, both featuring Ralph's Coffee, our stunning new Ralph Lauren Corporation collection shop for women at Harrods in London, one of our most elevated spaces to date, and our vibrant candy store Polo shop in Edinburgh's St. James Quarter, as we continue to test and learn with new store formats. The candy store represents a new smaller format concept for us with fun, highly flexible spaces. The dual-gender shops are curated with our most iconic Polo products that play on our love of color, from sweaters and rugby shirts to a rainbow of pony caps and mesh polos. Each of our three regions outperformed our expectations this holiday. We were particularly encouraged by mid-teens growth in Europe, supported by broad-based strength across our markets, including a return to growth in the UK. Asia also continued to perform well with mid-teens growth, including China sales up more than twenty percent. North America accelerated to high single-digit growth this quarter, on ongoing strength in DTC and a meaningful improvement in wholesale trends. Finally, touching on our enablers. In addition to our strategic priorities, our business continued to be supported by our five key enablers. Sharing a few highlights, Ralph and I are incredibly proud of our teams. Their engagement and love for what we do is evidenced not only in their excellent execution but in how they show up for one another and the communities we serve. Whether that's our corporate teams volunteering hundreds of hours to support our retail teams during the peak holiday season, or teams across every region working directly in our communities to support those in need. Their commitment to our business, our brand, and our values is unmatched. Just a few weeks ago, Ralph became the first fashion designer ever to receive the Presidential Medal of Freedom, America's highest civilian honor. The award recognized Ralph's extraordinary contributions to culture and society as a visionary designer, trailblazing entrepreneur, innovative business leader, and dedicated philanthropist. His vision continues to inspire us here at the company every day. Congratulations to Ralph. In closing, we are strongly encouraged by our team's progress through the first three quarters of this fiscal year, including the important holiday season. At the same time, we remain sharply focused on what's ahead for Ralph Lauren Corporation, leveraging the incredible power of our brand and durable diversified drivers of growth to stay on offense into the next year and beyond. With that, I will turn it over to Justin, and I'll join him at the end to answer your questions.
Justin Padicci: Thanks, Patrice, and good morning, everyone. Our strong third quarter performance reinforces the confidence we have in our diversified growth drivers and premium position in the marketplace. As our teams continue to deliver with excellence on our near-term commitments, we remain focused on investing in the strategic priorities that will enable us to better serve our customers and sustain our growth into the future. These include our brand, the continued elevation of our products, our digital capabilities and technology, and our top city ecosystems around the world. Third quarter results meaningfully exceeded our expectations, delivering one of our most successful holidays to date. All three regions contributed to operating margin expansion as planned, with North America reporting its highest third quarter adjusted operating margin since we began our elevation journey more than seven years ago. We achieved all of this while continuing to strengthen our balance sheet and cash flows, with approximately $980 million in free cash flows and $500 million in returns to shareholders year to date. This continued progress gives us confidence in raising our full-year outlook once again. But first, let me walk you through our financial highlights from the third quarter, which, as a reminder, are provided on a constant currency basis. Total company third quarter revenue growth of eleven percent was above our outlook, with better-than-expected performance in both our direct-to-consumer and wholesale channels. Total company retail comps grew twelve percent as our holiday product offering and marketing campaigns resonated with consumers across regions. Total digital ecosystem sales, including our own sites and wholesale digital accounts, increased mid-teens, accelerating from prior quarter trends. Total company adjusted gross margin expanded 190 basis points to 68.3%. This strong performance was driven by AUR growth, reduced promotions, favorable mix shift towards our full-price businesses, and lower cotton costs, partially offset by higher freight expense to mitigate East Coast port disruptions. AUR increased twelve percent in the third quarter. This exceeded our mid-single-digit outlook as demand for our core and seasonal products drove better-than-expected full-price selling trends. Our ability to drive strong sales early in the quarter through Black Friday week also enabled us to pull back on planned promotions through the remainder of the period. As a result, we reduced our global discount rate by more than 500 basis points, meaningfully greater than expected. In the fourth quarter, we are planning for high single-digit AUR growth as we pull back further on end-of-season discounting across all regions, following our strong holiday sell-throughs in Q3. Adjusted operating expenses grew ten percent to 49.7% of sales, down 30 basis points to last year. The improvement was driven by higher-than-expected sales and the planned cadence of marketing investments, which represented 7.1% of third quarter sales compared to 7.5% last year. We continue to expect full-year marketing at about seven percent of sales. Excluding marketing, adjusted operating expense rate was flat to last year, as ongoing cost savings offset continued reinvestment in our business. Our adjusted operating margin expanded 230 basis points to 18.7%, and operating profit increased 27%, both ahead of plan. Moving to segment performance, and starting with North America, third quarter revenue increased seven percent, exceeding our expectations. While momentum continued in our retail channels, we were especially encouraged by our return to growth in wholesale this quarter. In North America retail, third quarter comps increased eight percent. Brick-and-mortar comps were up ten percent, with strong growth in both full-price and outlet stores. Digital comps increased three percent, improving sequentially as we invested in more targeted marketing, merchandising, and site enhancements under our new digital leadership. Our digital wholesale business accelerated to low teen sellout the quarter. Total North America wholesale revenues increased six percent, above our expectations. Our wholesale AUR increased mid-single digits on well-positioned inventories in the channel. Full-price sellout was in line with our sell-in this quarter, supported by a strong fall product offering and growth in corporate punishment. We expect our wholesale sell-in to be up slightly in Q4 and continue to be generally aligned with our sellout trends. Our outlook now includes the planned exit of sixty department store doors this fiscal year. While the ongoing exits are not material to our financial results, we continue to proactively evaluate and refine our brand presence on a door-by-door basis. Moving to Europe, third quarter revenue increased sixteen percent, driven by strong performance across our retail and wholesale channels. Growth was supported by brand momentum from this year's highly impactful marketing activations. All of our key markets delivered growth in the quarter, led by double-digit revenue growth in Germany, France, Italy, and Spain. Encouragingly, sales grew in the UK this holiday as our underlying trends in the market continue to improve. In Europe retail, comps increased seventeen percent to last year, above our expectations. Growth was balanced across our brick-and-mortar and digital channels. Europe AUR continued to grow strongly on top of last year's low double-digit increase driven by our brand elevation. Similar to recent quarterly trends, our discount rates declined meaningfully to last year, despite a competitive promotional environment. Europe wholesale increased fourteen percent to last year, also above our plan, supported by strong reorder trends and the previously discussed timing shift of receipts from the second quarter. Excluding the shifts, wholesale would have increased roughly low double digits to last year. Our digital wholesale sales increased strong double digits, driven by continued brand momentum at digital Pure Play. This performance was especially notable given challenging compares from last year's restocking in the channel. We continue to expect stronger Europe wholesale growth in the second half of fiscal 2025, including Q4, based on solid underlying trends and the receipt shifts from Q2 into Q3 and Q4. Looking ahead, we remain encouraged by our team's strong execution and our elevated positioning across channels in Europe. We are focused on delivering powerful new connections with customers in the year ahead as we build on the momentum from our recent brand initiatives. Turning to Asia, revenue increased fifteen percent, reflecting growth in all markets. Retail comps were up fourteen percent, on top of a similar fourteen percent increase last year, with strong growth in both digital and brick-and-mortar stores. Asia results exceeded our outlook, led by continued outperformance in China. Our China market grew more than twenty percent to last year, above our plan and driven by comp growth, high-quality new customer recruitment, and key marketing moments, including our Very Ralph event in Shanghai and Singles Day live streaming activations. Sales in Japan were also strong, growing low double digits to last year, supported by accelerated domestic consumer trends driven by key brand activations, VIC engagement, and luxury events, along with continued tailwinds from inbound tourism. Partnerships with K-talent, including Mark Lee, Winter, and Sana, and growth on Takao also helped deliver solid growth in Korea and the broader Asia region this quarter. Moving to the balance sheet, our strong balance sheet and cash flows continue to be key enablers of our fortress foundation, allowing us to make strategic growth investments in our business while returning cash to shareholders. We ended the quarter with $2.1 billion in cash and short-term investments and $1.1 billion in total debt. Our teams continue to leverage our agile and diversified supply chain to manage through global industry disruptions. With regards to the recently announced US tariffs on goods from China, Mexico, and Canada, we currently anticipate a minimal annual impact. Third quarter net inventory decreased five percent to last year, even as we improved our in-stock rates of popular core and seasonal products to fulfill stronger-than-expected consumer demand this quarter. Inventories in each of our regions are well-positioned as we exit holiday and enter the spring season. We still expect to end fiscal 2025 with inventories generally aligned to revenue growth. Weeks of supply continue to decline as we improve our inventory efficiency through initiatives like our predictive buying model, which is designed to put our core top-selling styles in the right channels at the right time. This new buying framework is just one element of our upcoming next-generation transformation strategy, which will bring together our new global ERP system with integrated business planning tools and more productive agile logistics to align with our increasingly global DTC-oriented business going forward. Looking ahead, our outlook remains based on our best assessment of the current geopolitical backdrop as well as the macroeconomic environment. This includes inflationary pressures, tariffs, and other consumer spending-related headwinds, supply chain disruptions, and foreign currency volatility, among other considerations. For fiscal 2025, we now expect constant currency revenues to increase approximately six percent to seven percent, up from three to four percent growth previously, reflecting our strong year-to-date performance. Foreign currency is now expected to negatively impact full-year revenue growth by about 100 to 150 basis points due to a stronger U.S. Dollar. We now expect operating margin to expand about 120 to 160 basis points, up slightly from our prior outlook, driven by gross margin expansion of about 130 to 170 basis points in constant currency relative to our fiscal 2022 Investor Day base period. This puts us on track to exceed our fifteen percent operating margin target this year. Foreign currency is expected to negatively impact both our gross and operating margins by about 30 to 50 basis points. For the fourth quarter, we also expect constant currency revenues to increase a range of approximately six percent to seven percent. Foreign currency is expected to negatively impact revenue by approximately 300 basis points. Wholesale is expected to remain on its positive trajectory as North America sell-in more closely aligns to sell-out and Europe wholesale receipts continue from Q2, shifting to the back half of the fiscal year. Our outlook still includes one point of negative impact in the fourth quarter, which shifts into Q1 of fiscal 2026. We expect fourth quarter operating margin to expand approximately 120 to 140 basis points in constant currency, driven by roughly 80 to 120 basis points of gross margin expansion and modest operating expense leverage. Marketing as a percent of sales is expected to be about flat to last year in the fourth quarter, as we concentrated a higher share of this year's marketing dollars on our Summer of Sports and holiday campaigns. Foreign currency is expected to negatively impact gross and operating margins by approximately 60 to 80 basis points in the fourth quarter. We still expect our fiscal 2025 tax rate to be in the range of 22% to 23% for the full year, while the fourth quarter rate is expected to be around 24%. Lastly, our outlook includes CapEx in the range of $200 to $250 million. In closing, guided by Ralph's creative vision, our teams captured the magic of the holidays and delivered on our purpose of inspiring the dream of a better life. Our strong performance this quarter further underscores Ralph Lauren Corporation's unique emotional connection with consumers around the world. This, combined with our diversified growth drivers and organizational agility, reinforces our confidence in delivering against both our financial and strategic commitments to ensure sustainable value creation into the future. With that, let's open up the call for your questions.
Operator: You may remove yourself from the queue at any time by pressing star two. If you're using a speakerphone, please pick up the handset before pressing the numbers. We ask that you limit yourself to one question per caller. Once again, if you have a question, the first question comes from Jay Sole with UBS.
Jay Sole: Great. Thank you so much. But just to have one question, it's kind of in two parts. The first part is as you look across your brand momentum, product assortment, growth markets, and more, what would you consider the biggest drivers of your outperform this holiday, and how much of the beat would you attribute to near-term factors versus more sustainable drivers looking ahead? Then the second part of my question is, if you could just elaborate a little bit more on what's really driving the growth in women's and handbags, you know, those and it's the newer categories, the growth categories that you've been talking about for a while. Thank you.
Patrice Louvet: Sure. Well, good morning, Jay. Thanks for your question. Look, we just delivered a high-quality quarter. Right? And I think what you're seeing is the cumulative effect of our multi-levered strategy in action. Our brand is resonating with consumers around the world in every single market. Our teams are executing with excellence across the key facets of our business, whether that's product, stores, merchandising, marketing, logistics, and this is happening, you can't lose sight of that, in what remains a pretty volatile environment. We've been building this over the years. Right? As I think that many of you know. So this is not the result of one marketing program or one activity in the market or one specific engagement with a consumer group, it's the combination and the cumulative effect of what we've been doing for many quarters now and many years, and the drivers are durable. Just as a quick reminder, three things that I would highlight. First, brand strength, which is really fueled by our rolling thunder of marketing activation. Right? And if you look back not just last quarter, but from several quarters now, the combination of the Olympics, our immersive Hamptons fashion show, our Very Ralph premiere in China, or our innovative holiday campaigns, all that is contributing to this brand strength across a wide group of consumer cohorts. The second piece is the breadth of our lifestyle portfolio, which we continue to believe is a key competitive advantage in our space. Right? And this is both the combination of a strong core that's resonating with consumers around the world. So a strong core are cable knit sweaters, or polo shirts, or Oxford shirts, our polo caps, our blazers, and then high potential categories, and you touched on them, so I'll come back to that. Like women's handbags, like women's apparel, and like outerwear, which are performing particularly well and have significant runway, not just for one quarter two quarters, but actually for many, many years. And then the third durable driver in our mind is the power of our key city ecosystem go-to-market model. Right? With our focus on top thirty cities around the world, and making sure that we are centered on the consumer we want to serve, and continuously elevating across every channel and every touchpoint so we give the consumer, he or she, an incredible experience wherever they want to shop at any point in time within these city clusters. I would add to these three durable drivers the fact that we have built an agility muscle inside the company. And that's been serving us particularly well to navigate what has been, you know, goes back to COVID and the logistics issue with the Red Sea and the esports strike concerns and so on and so forth, enabling us to just navigate a volatile environment and seize on opportunities as we see them. I think what's pretty telling in this past quarter is the top line's up eleven percent. Our inventory is down five percent. It indicates how well our teams have been reactive, nimble, and smart with the use of our inventory across the country. So stepping back, listen, we're pleased with the way the quarter came through. We feel good about the strategic framework that we have and that we're executing against with the durable drivers. And we're actually excited about the magnitude of the opportunities ahead of us across product, across geographies, and across channels. We remain confident that the key elements of our strategy in the fourth quarter and beyond as we remain one on offense, and two, focused on what we can control. When it comes to our high potential categories, women's apparel, and handbags, and I would add outerwear to that, you saw the numbers this quarter. They're up twenty percent, very strong performance. And listen, this all starts by making sure we have a strong foundational core from the product standpoint. Our teams, both our Polo women's team and our handbag teams, have done a really nice job defining where we should play, defining how we should show up at which price points, with products that are distinctive, recognizable, and, you know, quintessentially Ralph Lauren Corporation. And I think that's resonating very well, and we are going to continue to build on the core. The second piece is we changed our marketing significantly across these businesses. Right? And we now have much more dedicated activations on women's apparel, much more dedicated activations on our handbags. We're integrating our handbags much better into the overall proposition. So for those of you who were counting at our recent fashion show, most of the models who walked the runway wore a handbag that would not have been the case five years ago. And then the third area has been very thoughtful on distribution. We've really improved distribution both in DTC and in wholesale, a combination of the footprint and also the presentation. Right? And that includes experimentation we're doing in some of our stores. So those of you who get a chance to Tokyo, you will see we've transformed our Cat Street store actually into a women's only store as part of a learning and experimentation exercise, and we've been super excited with the response that we've seen from consumers. Just as you all know on this call, women and men don't shop the same way, and we want to make sure that we're setting the products and the consumer experience in a way that really is going to resonate with these individual consumers. So early days on this journey, the foundation of our strategy for the company is what we're applying here. It's not that different. Right? It's how do we engage in the right way? How do we have the right core offering with exciting fashion sprinkled in? And then how do we really show up across points of distribution in a way that resonates? When I look at the total addressable market, and we'll have this conversation for Investor Day later this year, the size of the women's apparel market is humongous in our price points. While we have scale, right, because it's a multibillion-dollar business for us, women's apparel, we still have a very, very small market share. The same is true for handbags. Right? Depending on the numbers, eighty to ninety billion dollars. We're far from those numbers. So significant runway there and the same thing for outerwear. So we're excited about how our core is resonating, and, obviously, that will always be priority one at Ralph Lauren Corporation. But we will continue to lean into the selective high potential categories where the brand is resonating, our teams are in touch with the consumer, and we've got significant runway.
Operator: Thank you. Next question, please. Thank you. The next question comes from Laurent Vasilescu with BNP Paribas.
Laurent Vasilescu: Good morning. Thank you very much for taking my question. Patrice, Justin, appreciate you're not guiding for the next fiscal year or your full investor day, but just yet, but with North America inflecting back to growth this year, how should we think about the trajectory of the North American business here? Thank you very much.
Justin Padicci: Taking a step back. You know? So when we started our next great chapter strategic journey several years ago, we made a number of very deliberate choices, right, to elevate our brand, to elevate our distribution. This was especially true in North America. I think lessening our exposure to the lower-tier department stores and reducing our cost price business by fifty percent while at the same time strengthening our full-price proposition and penetration, expanding margins. So we set out to elevate our brand in the marketplace and establish that healthier foundation for long-term consistent growth. We're now seeing the impact of these efforts come through in our improved North America results. You know, the multiple drivers of growth that Patrice just talked about, they're as relevant for North America as they are for other two regions. We're really encouraged by how each of our North America channels is contributing to our growth. On the DTC side, we've delivered now six consecutive quarters of solid comp growth, led by our full-price stores, immediately less discount. We believe this is a pretty good bellwether of how our brand and our product is resonating with consumers. Notably, within DTC, our own digital business is now back on a growth trajectory. On the wholesale side, as we mentioned in the prepared remarks, we've been working to stabilize our business season over season. We've seen a return to growth in the channel a little faster and a little stronger than we anticipated, even as we continue to scale back and prune lowest-tier doors. Clearly, the progress we're seeing in DTC is coming over and starting to translate to wholesale. This is evident by the positive responses we're seeing from top-tier luxury accounts where admittedly still in the early stages of our expansion. So listen. While we're not going to guide for next year or the years beyond just yet, stabilizing that North America wholesale business is an important milestone on our long-term strategic journey. Put together with the momentum we have in DTC, we've established a solid foundation to deliver sustainable revenue growth and operating margin expansion both in our largest region, North America, and for the company overall.
Operator: Thank you. Next question, please.
Matthew Boss: Thank you. The next question comes from Matthew Boss with JPMorgan.
Matthew Boss: Thanks and congrats on a great quarter.
Patrice Louvet: Thanks, Matt. So
Matthew Boss: So, Patrice, could you speak to the foundational investments that are now in place that are really driving the double-digit growth in Europe and China? Maybe just elaborate on continued market share opportunity abroad and in white space you see for further store growth. And then, Justin, just maybe could you talk to the balance that you're striking between reinvestment in the business, notably with marketing, which is obviously delivering clear returns, relative to continued margin expansion multi.
Patrice Louvet: Sure. So foundational investments for us are really across marketing. Right? And you know, because you follow us closely, that we've increased our marketing spend as a percent of revenue quite meaningfully over the past few years. We're around seven percent now. As we've said in prior conversations, this is not the ceiling. The message to the marketing teams is you have no limit on marketing investment. The only constraint is ROI. So we expect to continue to increase marketing spend here as we expand margin over time. The key elements of the marketing activations have really evolved over time. So we now have a very broad portfolio of marketing activations that range from fashion moments. I wouldn't call them shows because there are much more than shows or cultural moments. To, obviously, all the sports activations, the work we're doing with influencers on social media platforms, gaming, etcetera. The second area where we're investing is obviously store openings. Right? And here, on the one hand, I'm actually really pleased with the work the teams are doing on comp performance. Because look at our comp performance across the regions. Right? Plus eight percent in the US, plus seventeen percent in India, plus fourteen percent in APAC. So the foundation store footprint is delivering, and this is true both across our full-price stores, our outlets, and our own digital. Now we also know we have continued opportunities to expand our footprint across key cities. So we expect this year to open around eighty-five new stores. This is consistent with the three-year target we gave out during Investor Day two and a half years ago of two hundred and fifty new stores. This is true in the US. Matt, I know you talked EMEA Piper, obviously, we have store opening opportunities in the US. We're opening in March next month in March on Jackson Street in San Francisco as we look to expand on the West Coast where we have significant white space. We also have significant opportunities in Europe through both our own and partner stores, and the teams have done an excellent job expanding our footprint and, you know, with the new store openings really delivering nicely relative to our expectations. Of course, in Asia, we'll continue to expand. We've got key opportunities first and foremost, in China with a really nice momentum there. But we also have opportunities in Korea where our footprint is still quite limited. We have opportunities in Japan. So that will continue. Then the last thing I would say from a market share standpoint is, you know, I come from a business where on Gillette, we had ninety-five percent market share. So it's hard to market shift. The good news in this business is it's highly fragmented. Right? And no one really has any meaningful market share. So the market is very large. The business is the category is very fragmented. While we have good positions of leadership in a number of categories, we're still relatively small from a market share standpoint. What we've seen this past quarter is continued market share expansion across men's, across children's, and meaningful share expansion obviously across women's and handbags as we were talking earlier with Jay. So I think the combination of continuing to drive marketing spend and lean into high ROI activities with a broad range of activations and this rolling thunder approach of always on with strong new customer recruiting, which will drive market share growth. Continued selective choiceful footprint expansion in our top thirty key cities is a bit of a flywheel for us. So we expect that to continue to deliver again, being very targeted and focused on how and where we show up because we know one of the risks is to dilute ourselves by being overextended and overexposed.
Justin Padicci: And, Matt, in terms of the balance between investment and flow through, you know, our philosophy really remains unchanged. Right? So balance reinvestment in the longer-term growth of our brand of business, with delivering on or in the case of this quarter, exceeding our near-term operating margin commitments, and you saw this in Q3. We balanced growth with investing back into the business, including in marketing, where we continue to meaningfully increase our spend year over year for Q3, our OpEx rate came in line with our expectations. We delivered SG&A leverage and that importantly came along with really high-quality revenue growth. So we feel like we're striking that right balance and we continue to see us do that as we move forward.
Operator: Thank you. Next, please. Thank you. Next question comes from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Hi. Good morning, and congratulations on the nice on the very nice progress. As you talked about brick and mortar, and what you're seeing, given the acceleration you've seen around the world, particularly in North America, what changed and how is the outlook performance and is that an area of growth in terms of new stores? And then can you expand on what you're doing in AI, the impact, and the opportunity? Thank you.
Justin Padicci: So I'll talk a little bit about sort of what we're seeing in brick and mortar. You know, we did see strong performance in both our full-price and our outlet stores really across all regions in Q3. Very consistent with sort of the Q2 trends, you know, our full-price stores continue to lead our growth, Dana, and then our Q3 outlet comps actually accelerated on really strong responses to our product offering and enhancements we've made around the world in staffing and experience. Taking a step back, really importantly, we delivered in this brick-and-mortar channel really strong quality of sales. Really strong AUR growth, on extremely positive traffic trends and increased basket. So really feeling good about that performance and it's consistent really across our regions. In North America specifically, similar trends. Again, I would say our Ralph Lauren Corporation stores full-price was continue to lead our performance, and that's consistent with what we've been seeing over the past couple of years really driven by traffic and AUR. AI is a big opportunity for us. So we're leaning into it.
Patrice Louvet: I'd say from a headline standpoint, Dana, we look at AI both through kind of creativity lens and a productivity lens. Right? That's how we really want to be leveraging these new capabilities. On the creativity lens, what you see is not our stores. It's our website. But we're leveraging actually generative AI to help with search and consumer navigation. We're obviously leveraging AI with our contact center in the way we engage with consumers. The philosophy is really the contact center should be much more than a resolution center. It should be one of our biggest stores. Alright? And how do we use that for consumer engagement and of the broader range? Obviously, generative AI is very helpful here. Our creative teams are using it for mood boards, for example. So a number of application areas on the creativity side and consumer engagement front. On the operational productivity front, we've started to leverage it in the context of predictive buying. You heard in our prepared remarks Justin talk about predictive buying, which has really been an accelerator of our performance this past quarter, actually, around the world to be a lot smarter in what we buy. We're also leveraging this in our allocation tools to be a lot smarter about how our products show up in the individual stores. We're in experimentation mode. New terminology in this case is a Genentech AI. I've followed things correctly. We are working with our partners to make sure that we continue to learn and leverage the best capability out there with, obviously, continued focus on authenticity and, you know, human leadership, with AI thought that as a copilot as opposed to replacing how we operate. We're excited about the initial impact we're seeing in the different fields of application across the business.
Operator: Thank you. Next question, please. Thank you. The next question comes from Michael Binetti with Evercore ISI.
Michael Binetti: Yes. Thanks for taking my question here. May I add my congrats on a great holiday, obviously. Maybe just a short-term one for Justin first and then a follow-up. The hundred basis point increase to the revenue outlook ex currency, but only twenty basis points or so of operating margin. Maybe just a thought on what's changing on the flow through and how much of that might be specific to the fourth quarter versus what, you know, kind of new costs we should be thinking about that could roll over into early twenty twenty-six that we should read from that. Then I guess, I jump all the question, but we've seen small hints of the US turning back to positive on a wholesale basis. Is there a reason it's been hard to sustain, obviously, with what's going on in the end markets there? Do you think we're in a period of more durable growth in positive North America wholesale? You mentioned some new distribution and luxury doors. We know the category expansion efforts. I'm just curious how you look out and see how your confidence is that can stay positive in North America.
Justin Padicci: Thank you. Sure. Thanks, Michael. So as we think about Q4, a couple of things. One, we know we're going into a, you know, it's a smaller quarter. It's also a quarter that we have our end-of-season sales in the quarter as well. So that is a part of the profitability shift. We know in Q3, we had very strong full-price selling that's reflected in our AUR and in our gross margin numbers there. I would say that's probably the biggest difference between Q3 and Q4. In terms of when you think about, you know, North America wholesale and sort of where we're at, we're encouraged by the underlying trends of that business coming out of Q3. We stabilized the business. Right? This was an important milestone for our North America growth trajectory and for our operating margin contribution. North America. You feel good about you got sell-in now, aligned with sell-out. A few consecutive quarters. We're taking share. Right? Even though the overall channel remains soft in a pretty volatile environment, right, while still pruning or quickly. So we're definitely encouraged by the underlying trends. You know, we're happy with the direction of travel. We feel good about how we're positioned in the channel and how we're thinking about it on a go-forward basis. I think when you look at our wholesale business and wholesale in general, it's really important to Justin's earlier comments to segment it. Right? Because not all wholesale is built the same way. The way we think about it is luxury players, the Neiman's, the Saks, the Bloomingdale's, the Nordstroms of this world, the Red Gals, where we've got significant momentum. Then we have wholesale dot com, think Macy's dot com in particular, where we also have very healthy momentum. Then you've got the top fifty doors of the key players where our partners are investing with us, in people, in capital, in the way the product has been presented, and we're seeing that resonate. Then there's the balance of the channel that continues to be challenged and, you know, that we're working through. We're working through two lenses here, which is in those doors where we want to stay, how do we ensure that with our partners, there's investment, there's activation, there's customer service. Then we'll continue to prune. You heard Justin talk about the fact we're going to eliminate another sixty doors within that group this year, and we're going to continuously prune to make sure we're showing up in the right place relative to how we want to project the brand. From a profitability standpoint. So I think Michael, it continues to be a pretty volatile environment. So really important to look at it in subparts. But, obviously, we're pleased that we're now stabilizing a business that's been a drag for this company for many years.
Operator: Thank you. Next question, please. Thank you. The next question comes from John Kernan with TD.
John Kernan: Thanks for taking my question, and congrats on a phenomenal holiday.
Justin Padicci: Thank you.
John Kernan: Justin, I think you said you reduced the global discount rate by five hundred basis points in the quarter. Obviously, strong performance in wholesale and DTC. Just curious, you know, how much more room do you have here to reduce discount rates? I know it's been part of the AUR story. AUR, I think you said, in DTC was up double digits again. You know, when you look at, you know, where you are from a full-price sell-through, how much more space you have to reduce the global discount rate.
Justin Padicci: Yeah. No. No. It's definitely something we think about. You know, if you think about what's driven our AUR and our margin expansion over the past seven years, right, there's been a couple of things. Right? There's been sort of favorable channel geo mix, there's been product mix elevation, like-for-like price, and there's also been, to your point, when repositioning, disciplined inventory management, and that promotional kind of pullback. They've probably been about equal parts over the last, you know, five, six, seven years. As we look forward, we believe that those drivers are all durable with the one caveat being like-for-like is going to be a target driver that we're really going to lean into to offset cost inflation when we see there are structural changes in cost like what we're seeing in Japan with foreign currency. If you think about the drivers there, you know, the promotional pullback driver, you know, in this quarter, we pulled back promotions in all of our regions and all of our channels. We saw really strong full-price selling driven by our marketing and our product. You know? And, really, what happened was we were able to step change our promotions really across our entire ecosystem. That's something that, you know, it was done in North America, where you probably have a bit more runway than some of our channels like our outlet channel, but it was also done in China where we're very, very elevated, highest AUR in the world, and we still were able to pull back and to get some AUR growth and market expansion from that promotional lever. So we feel really good about the concept in terms of this lever going forward. Our new consumer acquisition muscle that we've built up, pretty focused on bringing more full-price customers into the fray, really gives us confidence that that's why we look and continue and that this particular lever of AUR growth and gross margin expansion has a lot of runway as we move forward.
Operator: Thank you. Next. Thank you. The next question comes from Ike Borja with Wells Fargo. Your line is open.
Ike Borja: Hey. Good morning, everyone. Let me have my congrats. I think Justin, two for you. Can you just clearly, your business is very, you know, idiosyncratic, and you're doing a fantastic job on the markdowns. Globally, just curious. The US market, the US wholesale market, do you notice any changes with inventory with pricing cadence just across your competition, or have things probably still kind of steady as she goes? Then just to follow-up on the demand creation questions you've gotten, I think you're at seven percent. You guys have kind of hinted you'd love to take that up with momentum. I mean, should we expect that you continue to reinvest in that line item to keep the flywheel going on demand going forward?
Justin Padicci: Yeah. So thanks for the question. I mean, taking the second one first. On the marketing, you know, seven percent is not a ceiling. I mean, Patrice said it, I say it. It's a mantra. We're certainly seeing very encouraging proof of concept in terms of the ROI behind our marketing investments, and you can look no further than the past couple of quarters. So I think that's something that absolutely when we think about priorities for our capital and cash, you know, marketing tops the list, and we're building really strong proof points to be able to push that seven percent as we move forward. I think when it comes to wholesale, you know, look, we're very well positioned from an inventory perspective in that channel. That's always been an important part of our sort of repositioning is pivot from sell-in to sell-out and really stay focused to keep our inventory lean and rely on our agile and flexible supply chain. By the way, as we ramp up our predictive buying process, it certainly kind of, you know, adds fuel to that fire to be able to chase into incremental demand as we see it, particularly in our core styles. So we've kept our inventory, you know, aligned with that sort of end consumer sell-out. We're not seeing in our business promotions like we saw in our DTC space. They're going down. In Q3, we were able to kind of pull back because we saw some pretty favorable full-price traction in the wholesale channel as well as what we saw in DTC translated over. So we feel really good about how we're positioned from a stock perspective in that channel.
Operator: We'll take the last question, please, Angela.
Chris Nardone: Thank you. Our final question comes from Chris Nardone with Bank of America.
Chris Nardone: Thanks. Good morning. What is the timeline of implementing your next-gen transformation project? Then how should we think about the specific capabilities that you'll be adding to help drive continued sustainable growth? Apologies for the voice.
Justin Padicci: Yeah. So thanks, Chris. So on the NGT project, you know, as you know, we're in the preliminary planning phase of this project this fiscal year. The project is moving to a single global ERP, also a predictive buying and allocation tool to enable kind of strategic inventory management, as well as upgrading our warehouse management systems to allow for sort of seamless inventory movements across channels within regions. We've disclosed some of our preliminary costs in our ten-Q beginning, I think, in Q1 of this year, which are not significant. We're going to provide more updates as we kind of wrap the planning phase this year and begin to finalize our related kind of solutions and contracts. We've landed on a solution now, we're working on landing the SI. We'll give a better sense of the total project cost and then that, you know, that are going to be expected over the next kind of three to five years in the next quarter or so. But I think when you think about just broad time frame, we're talking, you know, stage implementations, likely starting in fiscal 2027. Alright. Well, thanks, everyone, for joining us today.
Patrice Louvet: We look forward to speaking with you on our fourth quarter and fiscal year-end earnings call in late May, and then we'll get together towards the end of the year for our next Investor Day. Until then, take care, and have a great day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.